Operator: Good afternoon and welcome to the Camping World headquarters -- good afternoon and welcome to the Camping World Holdings Conference Call to discuss Financial Results for the Fourth Quarter and Full Year 2019. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that this call is being recorded and the reproduction of the call in whole or in part is not permitted without written authorization from the company. Participating in the call today is Marcus Lemonis, Chairman and Chief Executive Officer; Brent Moody, President; and Mel Flanigan, Chief Financial Officer. I will now turn the call over to Mr. Moody to get us started.
Brent Moody: Thank you and good afternoon everyone. A press release covering the company's fourth quarter and full year 2019 financial results was issued this afternoon and a copy of that press release can be found in the Investor Relations section on the company's website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding our business goals, plans, abilities, and opportunities, industry and customer trends, growth and diversification of our customer base, and increase in market share, RV and outdoor retail location openings, acquisitions, closures, dispositions and related expenses, our 2019 Strategic Shift increases in our borrowings, future compliance with our financial covenants, and anticipated financial performance. Actual results may differ materially from those indicated by these statements as a result of various important factors including those discussed in the Risk Factors section in our Form 10-K, our Form 10-Qs, and other reports on file with the SEC. Any forward-looking statements represent our views only as of today and we undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as EBITDA, adjusted EBITDA, and adjusted earnings per share diluted, which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings release and on our website. All comparisons of our 2019 fourth quarter results are made against the 2018 fourth quarter results unless otherwise noted. I'll now turn the call over to Marcus.
Marcus Lemonis: Good afternoon everyone and thank you, Brent. To say that I'm glad that we're in 2020 would be a giant understatement. We have a clear vision and a plan that we believe will lead to a solid performance not only this year, but far beyond that. As you know we announced a significant shift in our business last September when we decided to strategically shift away from locations where we did not have the ability or where it was not feasible to sell and/or service RVs. We elected to aggressively execute this plan. And while it had an impact on last year's 2019 results, I'm proud that we accomplished it and it's behind us. As we sit here today, all the locations that we identified in the Strategic Shift have been closed, the product has been liquidated, and we have finished that process. This shift has positioned us for significant improvement in our overall performance both this year and beyond. We started 2020 with $148 million of cash and equivalents on the balance sheet. We're well-stocked in our new core RV products with towables leading the charge. We're pleased that we have been able to grow our high-margin high-churn preowned vehicle inventory which is up 33% to $166 million, an area in which we believe we have a clear competitive advantage in both sourcing and retailing. Our non-RV inventory made up of predominantly repair parts in retail inventory was drastically down nearly $200 million to $226 million and our retail operations and distribution facilities were substantially consolidated. After almost two months into the year, we are very encouraged with the results we've seen so far; demand is better, margins are better, and our customer and employee experience is better. Our initial outlook for 2020, keeping in mind that it's still early in the year, and we think it's prudent to remain cautious, is revenue in the range of $4.7 billion to $4.8 billion. Now that number is after selling, closing, repurposing a significant number of locations which accounted for just north of $250 million in the revenue of 2019, so we want to normalize that. The adjusted EBITDA is -- we expect the adjusted EBITDA to be in the range of $235 million to $245 million. New and used RV unit volume to be up mid-single-digits, which, by the way, would be a new all-time high for our company. I'm going to now turn the call over to Mel to review the details of our financial results and then we'll come back for a Q&A.
Mel Flanigan: Thanks Marcus and good afternoon everyone. As Marcus mentioned, it's a very exciting time for Camping World. While much of 2019 was devoted to identifying and addressing some operational challenges, culminating with the activities related to the Strategic Shift in the third and fourth quarters, the majority of that activity is now behind us. We also identified and actioned a number of key business initiatives and opportunities. And today our team is energized by our clear direction forward. As a result, we're on a -- we believe we're on a solid path towards renewed growth in revenue profitability and cash flow. As we mentioned last time, our core go-forward businesses are performing well and meeting our expectations. Vehicle inventories were essentially flat year-to-year and Good Sam Services and Plans were up 4%. Gross profit for these revenue categories was up almost 2% for the year. Our overall consolidated gross margin declined 210 basis points to 26.3%, due primarily to the liquidation of retail inventories. More importantly, I want to note that during the fourth quarter, we made conscious decisions to keep our vehicle inventories lean and work toward recapturing margin. We saw new vehicle margins improve about 130 basis points in Q4 of 2019 compared to Q4 last year and it was up 110 basis points sequentially. We're seeing this trend continue in the first two months of 2020 now coupled with accelerating new and used vehicle demand. Obviously, it's too early to draw outside conclusions, but we're pleased with what we're seeing so far. Adjusted EBITDA for the year came in at $166 million down from $313 million in 2018, due in large part to the costs and lost profits associated with the retail store closures coupled with increased SG&A driven by higher average store counts throughout most of the year. Looking at the balance sheet. We ended 2019 with $148 million in cash, up about 6.5% from a year ago. Overall inventories declined $200 million in 2019 to $1.4 billion. Of that reduction about $190 million was in product, parts and accessories as a result of the Strategic Shift and $10 million was vehicle inventories. New vehicle inventory was down just over $50 million for the year, while used was up about $40 million. At December 31, we had $848 million in net borrowing under the floor plan facility down 4% from a year ago. We're in compliance with the two relevant financial covenants under our floor plan facility and believe we will remain in compliance for the foreseeable future. So let me finish with this. Last quarter, we said that we are working to drive greater alignment around our vision and improve communication across our broad and very capable leadership team. We said that, we're going to improve the customer experience we said that we're pressing the pause button on acquisitions and external expansion and that our primary focus for the next several years is to improve financial performance and cash flow and improve our position as the largest RV and outdoor retailer in the world. Today, we can proudly say that we've made significant progress. All of these actions contribute to creating a tremendous opportunity to continue growing and developing our industry-leading RV business and our world-class team has never been more energized and unified across the organization. In 2020, all team members are focused on taking care of each other and our customers and building a legacy business that makes RV-ing fun and easy. We're very encouraged with the way our team has responded and the early trends we are seeing. Our customer and employee metrics are getting better, many of our RV shows have seen record attendance and our margins are improving and we're just getting started. With that, I'll turn the call over to the operator for Q&A. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We'll take our first question from Rick Nelson with Stephens.
Rick Nelson: Hello. Thanks. Good afternoon. So Marcus the guidance you provided for EBITDA was quite an improvement in 2020. As we think about the various business segments, what do you think the key drivers are going to be to that growth?
Marcus Lemonis: Well, I think the first and most important is we told that the team on the last call back in September that eradicating those locations that we were not able to sell or service RVs would be a significant chunk of the improvement. In addition to that, since our last call we've made massive infrastructure modifications and consolidating teams and unfortunately it did lead to some layoffs, but we believe that we needed to right-size our infrastructure for the future. I think lastly, and maybe most importantly is, we've seen a nice return of margins. While it's not where we want it to be, it is significantly better than it was over the last 12 to 15 months with room for improvement. And then maybe the most important thing is we believe based on what we've seen just early in January and February that, if we can be mid-single digits on a new and used unit count basis that all of those things combined tighter SG&A, the elimination of the stores, improved margins and the RV market just starting to walk back to 2017 beginning of 2018 levels is going to be how we believe we're going to walk our way up from here, and candidly, Rick the number that we've put out, we wanted to be prudent, we wanted to be cautious. The entire management team participated in this budgeting process. But we believe that, if the trend continues like we've seen in January and February, we're hopeful that we'll be able to revise guidance up in the coming quarters.
Rick Nelson: Great. Thanks for that. The new and used combine your guidance mid-single digit growth. As we look at each of those independently, are you thinking big growth in used and new will be down a little bit? Or how are you thinking about the new side?
Marcus Lemonis: We believe that, we'll be flat to positive on the new side of things and we believe, we'll be up more significantly on the pre-owned side of things. We did have good success in the back half of last year, and so we want to be realistic on our ability to grow up. I'm hoping that, we can be closer to 9% or 10% on the used side, and up very slightly low single-digits on the new side. Keep in mind that, we look at it from a unit transaction count largely, because we continue to deemphasize, the heavy diesel motor home business both on new and candidly unused as well. We have seen a much better return in the last 90 – call it 60 to 90 days by continuing to bring down that high dollar unit even more and reinvest in the low unit. We've recently launched a new Coleman. Coleman is a big part of our travel trailer business. In fact, it's a big percentage. We've launched a new Coleman, where we believe we're going to be able to sell that unit for under $10,000 which hasn't been able to be done in cash maybe just post-recession. So we really believe that we're finding the width of the market. We've worked hard over the winter to redesign a number of our products to content them in a way that we believe are customer-friendly and that are providing value in a way that quite frankly customers want to see today. So we're going to go after share on the new side, definitely to do two things: one, to continue to improve our overall relationship with the consumer; then secondly to continue to drive the growth of our used business.
Rick Nelson: Okay. Thanks for that. Also and finally, curious how the stores where you've added RVs in the last 12 to 18 months. I know they're in start-up mode probably lost money as a group in 2019 but your expectations there for 2020?
Marcus Lemonis: We have – we are only left with those locations. And in fact, Rick I think you and I even talked about this. When we made the decision in September, we identified a certain number of locations and we ended up even in December, pulling the plug on a few more, where we couldn't get the zoning right and we couldn't get the layout right. What we are left with we feel really good about and the new stores that we've added in the last 12 months, we had a couple of acquisitions. In fact, we acquired one in Boston and in a couple of other little places. But for the most part, the locations that we converted from strictly retail to a combination of retail but mostly RV have performed surprisingly well in the first, call it 60 days of 2020 and we expect that that trend will be normalized as we go deeper into the year to line up with – to be on par with the rest of our stores. So we're very encouraged by what we've seen early signs.
Rick Nelson: Great. Sounds good. Thanks and good luck.
Marcus Lemonis: Thank you, sir.
Operator: We'll take our next question from Craig Kennison with Baird.
Craig Kennison: Good afternoon. Thanks for taking my questions as well. Why just a – get a feel for your store footprint today? How many store locations do you have that sell RVs today? And then from a geographic standpoint, is it fairly evenly distributed? Or did you end up shuffling the nationwide footprint a little bit post the exiting of those locations?
Marcus Lemonis: So we have 165 locations that we operate as a company, 154 of them sell RVs, the Delta services RVs. And so we have some historical stand-alone Camping World stores that are very profitable that we're not able to sell RVs at but we are able to service and take care of the customer in those markets and grow the database. From a footprint standpoint, as we think about our growth over the next five years, we are as I said on the call in September, we are on pause for the foreseeable future in adding locations because we believe there is a lot of juice to squeeze out of the orange we have today, both with the combination of the stores we've added and the historical stores that experienced softening in the back half of 2018 and 2019. We want us to come back to the levels that we're comfortable with and get our EBITDA margins and our cash flow back to a level where we feel good. When we do decide to move forward, we're really looking at markets that continue to perform well on the RV registration side where the outdoor lifestyle is robust, markets like Texas and like Ohio and Pennsylvania and Minnesota and Wisconsin. Those markets Denver, Colorado, those markets where we feel have opportunity. The ironic thing about all of it is while we operate 165 locations, we see an infinite amount of white space in North America. And I want to be clear with that statement. We see an infinite amount of white space in our five to 10-year plan in North America. Now principally today, primarily today we operate in north – in the United States. We do have Good Sam, a pretty healthy Good Sam file size in Canada. It wouldn't surprise me over the next five to 10 years, if we expanded our borders north, as we continue to look for white space and continue in dominating the marketplace.
Craig Kennison: Thanks. And then regarding your mid-single digit growth outlook. Does that imply essentially a mid-single digit same-store sales outlook? Or did the store base change materially on a year-over-year basis after all the changes?
Marcus Lemonis: I'm sorry, Craig are you asking about – is that on a same-store or new store basis? I apologize I missed that.
Craig Kennison: No that's okay. I'm sorry that's not a clear question. I'm just trying to understand the same-store sales outlook embedded in your revenue outlook for mid-single digit unit growth. Do you have roughly the same number of stores on a year-over-year basis to get there? Or do you need a much better same-store sales growth rate in order to get to mid-single-digit unit growth?
Marcus Lemonis: No we have relatively the same base and we believe that our same-store growth will be what we described in the mid-single digits. We are hopeful and then keep in mind that we have a number of locations that are not in that mid-single digit formula because they're not same-store qualifiers. And so as we get into 2021, that number will get bigger. I believe and I don't want to be quoted on this with specificity but I believe there's around 128 or 130 – 132 locations that qualify in that same store category. And so that same-store growth that we spoke about is that same 132 days plus or minus that we had a year ago. Now we did close seven dealership locations in the 2019 calendar year. Those were locations that did not perform to our expectations. They were Camping World locations. We either consolidated them or we were able to exit the lease. But we just looked at everything in 2019, and said, what do we have that we just don't want to be in? And so obviously the sales aren't going to be there.
Craig Kennison: Got it. Thank you.
Operator: We'll take our next question from Mark Jordan with Jefferies. Please go ahead.
Mark Jordan: Hey, guys. Thanks for taking my questions. Just thinking about the used unit supply you kind of have trade-ins been trending lately? And what percentage of your used units do you source via trade-ins?
Marcus Lemonis: So we've historically been call it plus 70% of trade. But the thing that's different about our company is the 11 million plus people that sit in our database that are active RV owners are now being given a much different marketing platform to sell or consign their units. And so a combination of trading, buying on the curve with $148 million of cash that we have on our balance sheet, going through the auctions and obviously using our data science not emotion to buy, and lastly and most importantly, our ability to consign. We have probably, gosh, I would say, over 1,000 units on consignment at any given time. And so -- well, the reason that we were able to grow our used revenue and we believe we'll be able to continue to grow our used revenue, is the way that we're changing our acquisition process. The other thing that we have done and it is not something that is available for everybody to see, but we've developed our own proprietary tool to value trades and we've used our almost 20 years of being in business from used transactions, to new transactions, to trade, to a variety of things, to put them into an algorithm that allows us to understand the right trade, the right price at the right time for the right location. Historically, the industry has relied on NADA and in the auto business that's an appropriate metric, because the volume of transactions that go into an NADA formula are we believe are substantial. In the RV business, the remarketing of used RVs at auctions just doesn't exist with any sort of volume. So we have learned over time, we've tested this out over the last year that there are certain types of units that the books are irrelevant. And we've tested that theory out in a store at a time, and you can expect that that will grow over time and we know that that is our path as a differentiator on the used side for years to come. It's an asset we've spent millions of dollars developing, we have a large team dedicated to it and we believe that that's a big game changer for us in the coming five to 10 years.
Mark Jordan: Okay. Great. Thanks. And then can you talk a little bit about maybe customer sentiment, what you're seeing recently? Is there anything out there that's getting customers interested about either getting a new RV or a used RV? What's driving an upgrade? Or over the last couple of months what's really driving demand?
Marcus Lemonis: Shockingly, we own a number of consumer shows as well as operate dealerships. And in those consumer shows, our dealerships participate along with all the dealers in that town. And what we have noticed through our gate administration is the people who are coming to look at RVs and buy RVs, they just continue to get younger. And we're seeing more and more families and that's what led us to the redesign of a number of our private label products to think about families with kids at a greater rate. Sizes, rates and the unit that we've talked about redesigning can be pulled quite frankly with a Prius. That was important for us to continue to drive down price, fix the floor plans and really make it family-friendly, because we're seeing 20-year olds, 30-year olds, 40-year olds come in at a more rapid pace than we have ever seen before to layer on top of the already existing installed base of 10-plus million people. Sentiment has been strong. We have seen more web traffic increase and leads than we ever have, and we're blessed that we finally have our appointment and sales force process in a place where we're able to really work that customer and convert at a higher level. We think the conversion rates that we're seeing from leading position, to booking the appointment, to the appointment showing up, to converting that appointment to a sale, the improvement in that area and the science and time we spent on that could be some of the tailwinds that we are experiencing in our own business and we're anticipating continuing to help us in the years to come. Sentiment feels pretty damn good.
Mark Jordan: All right. Great. Thank you very much.
Operator: Our next question is from Brandon Rolle with Northcoast Research.
Brandon Rolle: Good evening. Could you talk about what you're seeing in the used market right now in terms of pricing with new vehicle sales bouncing back? Are you seeing any lesser competition at auction for used units given dealers are now -- seem to be taking on inventory of new units?
Marcus Lemonis: We can't speak to what other dealers are doing, but we feel like we're properly stocked for 2020. In fact quite frankly, we believe maybe we were even caught a little flatfooted in January and February and a little light on our new inventory maybe missed a few opportunities. On the used side, we are seeing very, very solid values and not the level of drop-off that we historically have seen over the winters in years past. And I think that really mean -- I think what that speaks to is the drop in shipments at the back of 2018 and the bulk of 2019 contributed to maybe a tighter supply and that tighter supply always leads to higher prices on our used. As we send our science buyers to the auctions or we're dealing with trades and we're working online with people we're finding that the used values have really bolstered and that they're not falling like we saw in 2008 and 2009. They're quite frankly in some segments, they're bringing very strong numbers. Numbers that a year ago we would have been we would have walked away from. So we're keeping an eye on it as everybody on the call knows we manage our used inventory very tight. Our aging is really clean compared to how it's been historically, because we have a strong mandate to wholesale or liquidate that unit when it reaches a certain age. It's painful because you live to that rule and then you go back into the marketplace and you see how strong it is and how expensive it is to replace units. So it's very strong there.
Brandon Rolle: Good to hear. Thank you.
Operator: We'll take our next question from John Lovallo with Bank of America.
John Lovallo: Hey guys. Thank you for taking my questions. Recognizing that January and February are typically lower volume months maybe less meaningful in full year. I mean, what was new volume up year-over-year? And do you think similar to what other consumer-oriented companies have reported that the first couple of months may have benefited from just warmer weather on a year-over-year basis?
Marcus Lemonis: We're pretty -- we're not -- obviously we're not at the end of February or March yet, but I can tell you that the numbers have plus signs in front of them in January. And that is a trend that quite frankly we have been dying to see for a while. Now it is true that January is softer, but on a relative basis when we look at being up in a plus sign in a meaningful way in January and maybe even better in February, we know that that trend -- excuse me -- we believe that that trend will continue and that sits in a natural curve where things just always go up. And so, for example, if we sell two units in January and 2.5 units in February, we'll go to 3.5 in March and we'll ride pretty high May, June, July and August. So right now we're feeling, not only feeling positive, but reporting a positive number on a same-store basis in the first 60 days of the year.
John Lovallo: Okay, great. That's helpful. And then I think the question that you answered before was that you procured 70% of your used vehicles via trade-in. But I'm curious what percentage of RV sales I should say RV new sales are accompanied via trade-in? And I guess what I'm wondering is that if new vehicle sales or new RV sales were lighter than you actually expect would that limit your ability on the used side?
Marcus Lemonis: So we typically see in the 30% to 32% range of new transactions coming with the trade and that's probably more because we are travel trailer entry-level type company and so we need a lot of more first-time buyers than most people may need. If -- look we never want to sell new RVs just to get a trade. It is a great by-product. But I think this idea of give away the new just to get the used is not something that we want to be subscribing to financially. We invest a lot of inventory, a lot of dollars in our inventory and we expect a positive margin in every transaction that we do new or used. Now we know that the new margins are lower than used and we accept that. But if a sales manager called me on my cell phone and said, I can make a deal on this new unit. I'm going to take a trade-in and we can make a lot of money on the trade but I'm only going to make a couple of bucks on the new, nine times out of nine I'm accepting that transaction, because I do look at the holistic relationship with the customer and say from the minute they buy their new, if they have a trade and then I have finance and service on two transactions I do look at that. And so will I take a $100 deal on the new liquor trade versus $100 deal without a trade? Absolutely, 100%.
John Lovallo: Great. Thanks guys.
Operator: [Operator Instructions] We'll take our next question from Gerrick Johnson, BMO Capital Markets.
Gerrick Johnson: Good afternoon. Just wondering of the 154 RV dealerships, how many of those are former Gander stores that do have outdoor and merchandise? And what is your outlook for that part of the business now that it's cleaned up and it's where you want to be and that's with existing RV dealerships what's your outlook for the lifestyle product? Thank you.
Marcus Lemonis: Approximately 30 locations is really what we're dealing with from the legacy business and we have seen really, really good signs right out of the rip. Again we keep a watchful eye and if we have any of those locations that aren't performing dealership or not dealership, we will go ahead and exit those. But we feel really good, because the way we look at these locations now is, we have field operations locations that sell RVs primarily, they service RVs primarily and then they have a retail component secondarily. And the only delta between a traditional Camping World store and a Gander RV store is the size of the retail footprint. And so, part of the reason that the revenue number came down from 2020 to 2019 is twofold. One, we eliminated over 60 locations between selling them or closing them, but more importantly, we continue to shrink the assortment in all of our businesses and shrink certain categories and put our money, put our cash, our shareholders' cash in the assets that are going to yield us the highest return. The balance there is maximizing foot traffic and maximizing return. So we still want to have a plentiful assortment that allows us to drive traffic, but we don't want to be in categories or products that have terrible turns or terrible margins at any cost. This doesn't make any sense for us.
Gerrick Johnson: Thank you. 
Operator: We'll take our next question from Tim Conder with Wells Fargo.
Marc Torrente: Hey. Good afternoon. This is actually Mark Torrente on for Tim. Thank you for taking our questions. I guess, just, what are you seeing in terms of the promotional environment out there? It seems as though, as most of the industry inventory access has been worked through. So do you expect promotions to be more normal this year?
Marcus Lemonis: I can't speak to what the other dealers are doing, but we always have a watchful eye on how dealers are pricing their units. Our hope is that the industry, as a whole, is less promotional, because we not only need our dealerships to make money, but we need the industry as a whole to be healthy. We need the manufacturers to be healthy. We need other dealers to be healthy. And the reason that that's important is that, we're dealing with more than 10 million RVers in the marketplace. We have a finite number of places to camp and a finite number of places to get service. And they're staying in the industry is a product of a place to stay and a place to get my rig fixed. And I think everybody knows that the industry as a whole has really struggled to put the right service infrastructure in place. It's not a Camping World thing, that's an industry thing. So we really believe that we have to stay very focused. We're not seeing promotions at the level we were last May, that's for sure. But people are going to want to grow their business. We're going to want to grow our business and we're going to be aggressive marketers, as other dealers will be aggressive marketers, but we all have to make money. And so, there's a balance on return to the margin normalcy and making sure that we're driving share. There is a definite balance.
Marc Torrente: Okay. Thank you. And then, for the, I guess, $15 million to $20 million in wind-down costs expected this year. Have all those incurred in Q1? And are those added back in your adjusted EBITDA guidance?
Marcus Lemonis: Yes. So we have some lagging closing cost, because the distribution centers and a few stores and the last bit of margin. We believe that most of that, if not all of it will be done by the end of the first quarter. And we have to obviously get permission from our auditors, but we have to deal with that. As it relates to the leases we've been very successful in working out of a number of them and we'll continue to add that back as well.
Marc Torrente: Okay. Thank you.
Operator: [Operator Instructions] We'll take our next question from Sanjay Gulati with ArrowMark Partners.
Sanjay Gulati: Hey, Marcus and team, thanks for taking my call. I don't suspect this should be an issue for your supply chain. But I was kind of wanting to touch on the Coronavirus. Any insights on how it could affect your customer base, just given the context that it's affecting a lot of travel and vacation-focused companies?
Marcus Lemonis: This is probably the most important question that everybody is asking right now and we're obviously concerned about the health of our employees and our customers and the communities around us. There are a couple -- there's really a two-pronged answer to this. On the supply chain side we don't rely in our retail business on China imports to the extent that maybe other big retailers do. Now we have a certain amount of products that we get from them, certain plastics and certain textiles. At this point, we believe we're going to be in pretty good shape, as it relates to that. May there be a few little delays here and there that could push things out 30 to 60 days? The answer is, yes, but nothing that we think is alarming to us. On the manufacturer side, we rely on our manufacturing partners to keep us abreast of what's happening. And as everybody knows, this is an American-made product. That's one of the things that we love about the RV business, but there are parts and pieces, certain components that may be sourced overseas. And I know the manufacturers have been working diligently to find replacement parts and pieces, but they don't expect any material break in the supply chain. Above and beyond that, what's important to note is that because of our size and because of our consolidated relationships with essentially four or five key companies, because of the volume that we buy, not to say that we get preferential treatment, but we plan out our ordering process seven to eight months in advance. And so, that pipeline has been built. It's very fluid. We have the appropriate days' supply on the ground today. We have the appropriate day supply coming off-line. And we will be -- we believe we'll be properly stocked through the spring and summer selling season. What has happened that has surprised me is the number of inquiries that we have gotten from people that we maybe have never heard of before. Looking at RV-ing as an alternative to travel, as an alternative to domicile and we don't anticipate or project or discuss what we think that means for our business. Quite frankly, we would prefer that the virus completely go away, but we do understand that certain companies, certain disaster recovery companies, certain federal agencies and certain consumers may look to the RV industry as an alternative to international travel for vacations, for domestic travel and even for off-site work spaces. And so we're prepared for that we receive those inquiries all the time. But we have been surprised by the number of them that have populated in the last 10 to 14 days and we are prepared to address any of those within the reason it's a good business decision.
Sanjay Gulati: Thanks, Marcus. That’s very helpful. And one other question you may have touched on this in the past already or earlier on this call rather. I know you were focused on inventory reduction in 2019. Could you touch on how you want to be positioned going into 2020 in terms of further reductions remaining in a well-positioned state as is or potentially building that inventory through the year?
Marcus Lemonis: I think, we're constantly looking at improving our margins and turns on the retail side and whether it results in a reduction of -- a further reduction of inventory or a mix shift, we want to put our dollars where we think we're going to get the best return on investment. On the RV side, I would expect that our used inventory will continue at this level. If we can continue to find more growth opportunity, I know that Mel and the financial team are comfortable allocating more dollars as long as the turns in the margins stay commensurate with the investment. On the new side, we believe that we probably hurt ourselves a little in the back half of last year particularly the fourth quarter in maybe being a little too conservative and our entry-level travel trailers our mid-travel trailers and our entry-level fifth wheels and will probably be slightly more aggressive in stocking those entry-level products that have the fastest terms because we really are looking to grow our market share profitably in 2020. I think what you'll see out of our company differently this year that you saw in 2018 and you saw in 2019 is a laser, laser focus on growing share, but more importantly growing our EBITDA margin number. We have a goal to get back to 7%. We need the industry as a whole to be healthier for that to happen. But in the interim, we are reducing costs, we are rightsizing our infrastructure, we are renegotiating leases and renegotiating contracts trying to find our way to 6% and 7% assuming that the market doesn't come back. If it does, then we'll have an easier path to get there. But we're not waiting for that to happen to improve our return on investment and return -- and improve our return on capital.
Sanjay Gulati: Understood. Thanks, much Marcus. Appreciate it.
Operator: Ladies and gentlemen, at this time I'd like to turn the conference back to Marcus Lemonis for any additional or closing remarks.
Marcus Lemonis: Look, we're very comfortable that 2020's projection is attainable. We believe that if the trend continues, we may have an opportunity to raise our expectations in the latter part of the year. We're glad 2019 is behind us and we look forward to delivering reliable, stable and consistent results in the years to come. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation.